Operator: Thank you, Chris. Thank you for standing by and welcome to the Helbiz First Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. As a reminder, today's program will be recorded. If anyone objects, please disconnect now. I'd like to introduce you to your host for today's program, Gary Dvorchak, Managing Director with The Blueshirt Group. Mr. Dvorchak, please go ahead.
Gary Dvorchak: Thank you, Operator, and hello, everyone. Welcome to Helbiz's first quarter 2022 results conference call. With us today are Founder and Chief Executive Officer, Salvatore Palella; and Chief Financial Officer, Giulio Profumo. We issued our financial results press release today after the market close. It's available via Newswires and on our website at investors.helbiz.com. A replay of this conference call will be available later today on the Investor Relations page of our website. Please note that our press release in this conference call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from actual future events or results due to a variety of factors. Helbiz can give no assurance of these statements approved to be correct. We have no obligation to update these statements. We will also discuss certain forward-looking non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. We urge you to review the discussion of our non-GAAP financial measures and the risks associated with our business are described in the safe harbor provision above filings with the SEC. I will now turn the call over to Salvatore to begin. Salvatore?
Salvatore Palella: Thank you, Gary and good day everyone. Thank you for joining today's call to review our business for four months and financial result for the first quarter of 2022. Once again, growth was substantial, revenue tripled with both mobility and media contribution. We continue to invest to grow our business. To form growth we essentially secured another $10 million of funding. In mobility, we won a license in Miami based country. We're the first of any company to do so and they are already operating there now. Across the U.S. Europe and Asia Pacific, we are currently in discussion to bring our mobility service to new communities. License application in several city are in the final stage. We are proud of the partnership we build with local government and how our investment in our technology enable us to move quickly. We can satisfy specific request from the city and at the time, keep license while competitors lose theirs. Our agility enable us to regularly overtime and beat our stake away license from other. In addition to organic growth, we are exploring other way to quickly grow our fleet and citizen service. At the moment, we are negotiating an M&A transaction with potential partner also operating in the Mobility sector, which could significantly increase our footprint in revenue. Because we're publicly trade, we can pursue opportunity like these using stock, which is often a better option than cash. During the quarter, we made strong progress in building our partner resource. Most important is our deal with Google Maps. In city where we operate, Helbiz e-scooter will now appear as the transportation option. With a couple of steps, the Google Maps user can found the Helbiz scooter and start the ride. Similarly, we have a deal with  so their user can see Helbiz as a commuting option. These part, this shipper introduced ourselves to a wide group of user. They helped so present us as an alternative to other mode of transportation, such our ride share, which is a solid progress toward our goal of fully integration our sales into the way people commute through their city. As warmer weather come, people are returning to normal lives of commuting to the office and see their friends. Because of these, we expect our services to become even more vital. That's fair with despite in gas price and other difficulty presented by inflation should benefit our business. Recent conditions show the need for our vibrant micro-mobility sector and growth potential in present to us. To take advance of this, we are now taking delivering new vehicle in many of our operating cities. The new vehicle enable us to max out our license cars and serves largest population. Finally, in media, we strengthened with our partnership with Amazon Prime Video. In Italy, Helbiz Live will now be a subscription option in the channel section of Prime Video. We also have the MLB, the Major League Baseball, to our lineup, which bring baseball to Italy. Now, let me turn the call over to our CFO, Giulio Profumo, to discuss our financial performance for the first quarter. Giulio?
Giulio Profumo: Thank you, Salvatore. Our detailed financials can be found in our earnings release and 10-Q filing. So we will spend our time discussing the drivers of financial performance. Unless I note otherwise, all figures are for the first quarter of 2022 and all comparisons are with the first quarter of 2021. We started the year on a solid note with good performance across multiple operating metrics. Revenue more than tripled to due to growth in Mobility and the contribution from the Media business. Mobility growth was multifaceted and generated 48% of total revenue. We continued the expansion into new cities in the U.S. and in Italy, growing our teams in every city and providing enhanced services. Operating metrics showed solid performance. Quarterly active platform users were up 66%, and total trips were up at 58%. Pay - per-ride still dominates revenue. But unlimited subscriptions grew by 76%. Unlimited is popular among customers who rides frequently and value our other services of food delivery and live streaming. Our marketing team is working hard to promote Unlimited subscriptions, because it represents a good value bundle for customers. Media has quickly become an engine of growth for us, making up the other half of revenue in the quarter. Most M edia revenue again, came from commercialization of media rights, while Helbiz Live subscriptions were nearly 20% of revenue. We're building live subscription momentum through the unlimited subscription offering. Going down the P&L, cost of revenue was mostly media - related. Operating expenses reflect our commitment to invest for growth. The doubling of OpEx was mostly from the growth of the business. We hired more talent and spent more on marketing. We're also now incurring in the expense of being a public company. Please note that we incurred them $1.3 million in non-cash stock-based compensation expenses, which accounted for almost 6% of the total operating expenses. Our growth goals are aggressive. So naturally, we are focused on maintaining a healthy level of funding. In April, we secured another $10 million of funding,  two convertible notes. With increased liquidity, we remain confident with our ability to fund the business and pursue our objectives. We're always exploring cost efficient forms of capital to fund the business and opportunities to further optimize our capital structure.  want to update you on the financial lease agreement we signed in June 2021, a 12-month lease with a European financial institution for approximately 3,000 e-Scooters. This agreement became effective on March 1st, 2022, following the delivery of the vehicles to our warehouse. We now pay a monthly leasing fee for these addition to our fleet. Looking ahead, we see demand recovering to pre -pandemic levels. To fulfill this rising demand, we're taking vehicle deliveries now in many cities. We believe we're well-positioned to capitalize on the promise of the industry as the year progresses, with increasing adoption of our environmentally friendly transportation alternatives. We now expect 2022 revenue to more than double versus last year. This improved the outlook reflects growing ride utilization and city expansion. Now, let me turn the call to Salvatore for the closing remarks.
Salvatore Palella: Thank you, Giulio. We are delighted to see solid revenue growth in our Mobility business and it's our Unlimited subscription model is gaining traction. Our business is balanced and diversified across several service that make life more convenient and environmentally friendly for our customer. Basing on the strong start of the year and the growing confection across all our line of business, we are excited to increase our revenue expansion for 2022. This concludes today's conference call. We are open to answer your question and would like to communicate with answer. So don't hesitate to send us any question. Thank you for spending time with us today. You may now disconnect.
End of Q&A: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.